Dennis Müller: Welcome to our today's earnings call. My name is Dennis Müller and I'm responsible for product marketing and communication at ADS-TEC Energy and will guide you through the event. Within the next 20 minutes to 30 minutes, Thomas Speidel, CEO of ADS-TEC Energy; and Stefan Berndt Bülow, CFO of ADS-TEC Energy, will announce the company's audited financial results for the full year 2024. Following the presentation, we will hold a Q&A session of approximately 10 minutes. You could submit questions via this Q4 platform during the event. The presentation includes forward looking statements within the meaning of the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995, and you'll find a detailed disclaimer within the presentation that will be available on the company's website after this event. And with that, I will hand over to Thomas Speidel.
Thomas Speidel : Yeah, thank you, Dennis. Dear ladies and gentlemen, dear investors, thank you for joining today. Let me just go to the agenda. We have prepared today to present a review of the full year 2024 about how we want to strengthen the partnership with our existing and new customers and what we believe can be done in further and accelerating revenues, especially recurring revenues. And we want to present our strategy for Europe and North America. And after that, I will hand it over to my colleague, Stefan, the CFO, who will take you through the financials. And then we will sum it up and be open for Q&A. Let's go to the review for the full year 2024. First of all, I'm really pleased and happy to say that first time ever we can announce a positive cross-profit and also a positive adjusted EBITDA for the full year, and that is what we said. And so, we are happy that we have been able to deliver that. Also, a prediction of what we always said is that service and recurring services will get more and more important. And so, we can see that last year the service revenues almost tripled to EUR5.6 million. It might be not the very highest number, but it's growing and it's significantly growing. And so, we always explain that we start with hardware, with the eco-platform, and then with the hardware and the operations services will come in. We have last year increased our customer base by more than 200%, so more than doubled to 55 customers across Europe, U.S., and Canada. Customer, in this case, means that they have ordered, from ADS-TEC and at least got the first units, from ADS-TEC. We are focusing on a long-term resilient business model, and we explained that several times. We are not a charging company. We are convinced that flexibility, especially digital managed flexibility, will play a big, big role in the future. And that is what we are driving forward. And charging is one of the things we are doing. And so, we mentioned that multi-revenue streams based on proven technology is important, and that turned out, and is more and more turning out to be true. Here we see some pictures from the U.S. with the charge box, which is well-known. But also, here, you see that big storage systems are playing a role, and I will come to that later. And also, the awards we got, which shows that we are on the right way, also from the technology and from the strategy side. Important for us is to strengthen the partnership with our, first of all, existing, but also new clients. That is key for us. And we do everything to help and support our customers and partners because, based on our ecosystem, based on our technology, they can operate their own business. We always said that we have a platform, and our customers, our clients, our partners can run their own business models on our ecosystem, and we are serving with services, which are physical or digital. But we have announced that by the end of the year, we will also accelerate the business by recurring revenues. And that is what we want to explain again here. Based on 2024, we all know that the market has been volatile. Everybody knows the news about charging, then EVs went down. We had the election in the U.S., and it was unclear what to come. But nevertheless, we said, okay, it's a long-term focus, and we have to concentrate also on the margin improvements. And that is what led us to the results, which I showed at the beginning. So, profitability growth was important for us in the last year and also that we want to focus on continuing with the partnerships with the current customers, but also with new ones and the new business model. Realizing new opportunities, as mentioned, we do that with existing but also new customers. And we will act now as a full-service provider to realize complete infrastructure projects. So, besides our partners and customers who are running and operating the system themselves, customers came and said, we can provide you sites, and please operate and own the sites and do it for us. And that is what we have started by end of last year and which we have communicated already. One thing which is also coming back, if you know ADS-TEC from the beginning, so CNI commercial, industrial, and also utility scale battery projects have been very important for us and at the beginning. So, we are getting back on track here. We mentioned already over the last years. First, with the big projects such as Porsche and the battery-based superchargers, we concentrated on that, but now we are getting back also on the big storage projects. So, in 2025, we will develop large-scale best projects. We also have improved momentum in North America. For example, that's also public already. We want new customers such as the Corporation Parkland, which is a big customer not only in Canada, but also with potential in the U.S. The strategy, still, we believe that ability to act is key. Only if you can control the whole stack, the full stack, then you play a role and you can adjust your business model or the business model to the latest regulations and to the specified markets. This is based on the 10-plus years of experience we had and also continuous focus on innovation, which is still a key in ADS-TEC. We see that here, the 360 degrees, we call it, on the left side. That is what is well-known. So, we want to control and we control the hardware, the software, and also the services, including all the digital services. And now, on the right side, we started on a project-based, the own-and-operate business. So, we will finance the sites. We do the operation, the installation, commissioning, and then get the whole revenue stream into the company, which is then the multi-revenue case, which means charging, energy trading, and, of course, advertisement. Here are some screens, some examples where we can see the charge post. The charge post is the first unit where we can combine ultra-fast charging without expending the grid. So, we save the expansion fees. We avoid demand charges and high-power rates. But in addition, we get revenues from energy trading and also from advertisement. I just mentioned the renewed focus on CNI. So, CNI stands for commercial industrial, but here also utility scale. Large-scale systems are more and more getting popular. We can, or you can see that also in the news. That's an international thing, and we have developed a pipeline, and one is one of the largest, best projects in Europe. We have currently being planned, and we have applied for the grid access. You see the number. It's more than 500 megawatt and 1 gigawatt hours. So, the request or the required land has already been secured exclusively for us, for ADS-TEC Energy, and we have already applied for the grid connection to the TSO. So, we expect that the project can start already during 2025, and also further best projects are coming in and are under development right now with our team. With that short survey, I want to hand it over to Stefan, who gives you more insights into the financials. Thank you.
Stefan Berndt Bülow: Thank you, Thomas. So, taking a closer look to the financials 2024. So, the company achieved a revenue of EUR110 million for the full year 2024 compared to EUR107.4 million in 2023. It missed market uncertainties. ADS TEC Energy was able to exceed its previous year revenue roughly 2.5%, while growing the customer base more than 200% to 55 customers across Europe, U.S.A. and Canada. In late 2024, the company effectively mitigate and resolve risk from a major customer business difficulty by acquiring nearly all the affected end customers directly, which was a significant success for the company. Worthwhile to mention, Thomas already mentioned that we were able to almost triple our service revenue from $2 million in 2023 to $5.6 million in '24 due to the growing base of installed fast charging solution units. As also already mentioned by Thomas, it's the first time ever that the company can report a positive gross profit and positive adjusted EBITDA for the full year 2024. This was mainly possible because we were able to reduce the cost of sales by 80%. So, to minus $90.6 million. These results, as already mentioned, in the first time positive full year gross margin of $90.4 million, which is 70.7% for the full year. This is a significant improvement to minus $9.2 million or 2.7% in 2023. The improved gross margin could be mainly realized due to the reduced material cost and also to higher margin. So, the focus in 2024 for ADS-TEC was really on a cost reduction base. This also then results in an operating result of minus $8.6 million, which was a significant improvement by $35.9 million, compared to minus $44.5 million to the previous year. Similar, the adjusted EBITDA could also significantly increase from minus $38.1 million to positive $2.2 million. It's really important to mention here that the adjusted EBITDA only includes share-based payment and not, as in the previous year, reported share-based payment plus write-down on inventories. So, inventory write-downs are not included anymore in the adjusted EBITDA. The cash and cash equivalent ended by $22.9 million in the end of December. The operating cash flow was significant improved from minus $20.7 million to $16.3 million this year. This is an improvement of $4.4 million. Taking into account that in 2023, it was not included in the operating cash flow, the capitalized R&D of $7.6 million, which was shown under investment, due to IFRS rules. The year-to-year real comparison would be an improvement of $12 million on the operating cash flow. To sum this up, we have a proven and highly recognized technology. We won several awards in 2024, starting with the German Innovation Award, the Green Product Award, German Environmental Award and the Red Dot Award. ChargeBox and ChargePost have been proven by real operational data from clients. Exceeding customer experience due to the very high utilization rates, which is a result of the proven and performing technology. This technology was developed for more than one decade. As a CFO, I'm basically super proud of the strong financial basis of the company. First of all, as already mentioned, we achieved the first time ever positive cross profit and positive adjusted EBITDA for the full year. In addition, the company was able to secure a convertible note in the aggregate principal amount of EUR50 million in the beginning of May, to be exact, on the first May. In addition, we extended our existing shareholder loans for one third of the year until August 31st. And we can use this as a credit line, which gives us additional EUR25.6 million, sorry. In total, the company then has enough financial resources and ability to extend its business and invest in operating own units and changing or extending the business to this own operation. The further growth strategy, as Thomas already mentioned, we will strengthen our partnership with existing and new customers. We want to invest and accelerate in recurring revenues. We grow our customer base for more than 200% to 55 customers across Europe, USA and Canada. We will remain focusing on resilient business model backed by long-term multi-revenue and proven technology. And also, as already mentioned, we were able to triple our service business and driven by the growing install base. And this will not stop in 2024, with the increased install base, the service revenue is expected to further grow. With that, I close it and go to the Q&A session.
A - Dennis Müller: Thank you very much, Thomas. Thank you very much, Stefan. Now again, from my side, you will have the possibility to send us your questions via this Q4 platform. Let's start with the first question. I think that's one for you, Thomas. What are some challenges and opportunities for companies like ADS-TEC?
Thomas Speidel: Thank you for the question. So, the opportunities, I think they are still the same. So, we see the transformation is ongoing, and it will not stop. We see that worldwide, even if we are concentrating now on Europe, North America. So, the opportunities are the same. And even what we see now is that EVs are coming back. We saw that last year it was a little bit going down. Now, we see that it comes back. So, we don't have any hints that the transformation can be stopped. That's a very important thing. And so, flexibility will be key. Not only the renewables with photovoltaic and also wind and others, but also on the consumer side, on the demand side, we see more and more need for flexibility. And that is why also the large-scale battery storage comes in more and more. We see that flexibility gets prices, and it's a highly regulated market. So, and that is maybe something about the challenges. So, we are facing a very diverse situation. So, not even Europe, but even Germany, is just one region. It's split up in many, and it's split up in many different regulated zones. And now, ADS-TEC comes into place. Ability to act, I'm mentioning all the time. That is why it's so important because we can adjust the system, the operation, the software to the local needs. And it's not just having one component in a container and ship it from wherever to Germany or to Europe or to the U.S. It's about the whole scope. And it's an end-to-end business, and it's not for three years. It's for 10 years or even more. And so, the opportunities are still the same. And the challenges, I would say, they are opportunity for us because we can manage the challenges by following the demand and by having the ability to act. Nevertheless, we saw also some difficulties in the press, in the news. So, charging in some segments was under pressure, and we see that as well. And we see that some customers having delays in installation, that the market is, I would say, paused a little bit in some regions. But the overall red line is still the same.
Dennis Müller: Thank you very much. There's another question, not the same, but it's, could be one addition to that. How do we see the competition with regard to the large corporations in the same business?
Thomas Speidel: Well, what are the large corporations in the same business? We are not a utility. We never want to be a utility. We are serving utilities in the big companies. So, we see ourselves rather in the second row by being a very strong partner. And now, with the expansion of our business in owning and operating the units and taking care about a very complex operation model, that is our business. And we are not trying to be the Google for the next energy system because we believe that it's more decentralized. It's more, a case-by-case. I always said it's like a fingerprint. So, we are not seeing corporations, where we could say, the winner takes it all, but rather see, who can enable others to participate in the business. And therefore, you need the technology. That's what we do. It could take a little bit longer because that's very complex. And please, realize that also regulation and politics are playing a big role. We see that now last year, we lost our government in Germany before the regular election time ended, and we have a new government in the U.S. And with these changes, you always get impact on the regulation. This is also an opportunity for us, but it did slow down also some of the integrations. And to answer the question, we don't see that there is one big player; rather, the big ones are looking for companies like us, who are able to help them and to support them on the long run.
Dennis Müller: Great. Thanks a lot. There is another question regarding the large-scale BESS project. Can you provide some view on the financials for the large 500-megawatt project? Who has this been signed with?
Thomas Speidel: It's not signed. As I said, it's under development. So, what we did now and that is how you do the business. So, we want to, the, we do not want to sell just batteries to somebody who is taking the role as an EPC and operating the units. In this case, we are developing the project ourselves. And the first step of doing that is that you have to secure the sites. And there is no project without sites, and the sites have to be close to a grid access, which is strong enough. And so that took some months now to get that done. And this first step, we have closed now. So, we have access to the sites. And the next steps will be that the application for the grid access can be fulfilled. And if you are in this business, then you know that can take some months. So, we expect that during 2025, we would get that second very important step being closed. And then the next step will be then talking about the financials. And of course, we will then communicate the details also with potential investors. Because, as you can imagine, these kinds of projects have a high demand for CapEx, and they are running for more than 10 years now. And so that's a long-term business. And so, we believe that it's very important for ADS TEC to be in that market. We have been there. Remember 2015, we have been the first commercial -- we got the first commercial frequency regulation power plant as an EPC. ADS TEC provided that to Starcraft, which is a Norwegian utility, a huge one. And that's up and running until today. And we have some 100-megawatt hours installed base in different applications. And we want to continue also in this business, which is also flexibility. And flexibility is not just charging. Flexibility is everything also in the big scale.
Dennis Müller : Then there's another question coming in. Maybe for you, Stefan. Could you expand on how the EUR50 million financing will only result in the number of new shares? It would seem that the conversation price is a lot higher than the current share price.
Stefan Berndt Bülow: So, not going too much into detail, but roughly it's a convertible node, which then will be -- let's call it exchange against share. So, the price will be determined in the next month. So, there is a first portion of EUR15 million and then the following portion, about EUR35 million, which is being redeemed over 36 months. And I think that's the most important highlights. What is especially important that we could secure the EUR50 million for the company where we want to invest in the new extended business to operate the units our own, which then gives us long-term recurring revenue over multiple years, 10 years or even longer, because in some cases, we have rights to extend the contract to further five years. And that's the most important about the financing.
Dennis Müller : Great. Then there's another question regarding the, let's say, change in the strategy or the additional strategy with extension of the business. Could you give some guidance? And given the change in strategy, will impact the numbers short-term? So, should we expect weaker short-term financials?
Stefan Berndt Bülow: First of all, for me -- for us, it's very important. It's not a change. So, we still stay with our business, and we are an eco-platform provider, and we support the platform for our customers. And that is why I mentioned, it is so important for us to continue in the partnership for our existing and also new customers. And they are using the platform running their own application. They have their own software business model, and they use us like, I always say, like an iPhone, and you write your own software, and you buy from Apple to phone and the operating system and the services and the data protection and the over the air updates, but you write your own app. And this business will continue, and it's really a very important business for ADS-TEC. What we are doing now is that we extend the business because and that is because the market has developed in a direction that site owners are now coming. It's also due to regulation because now you are forced. You are motivated to have charges on your side. And not everybody can do that by themselves. So, they asked us and said, you are the platform company, and can you also do the operation? And we allow you to do not just the charging where we are interested, but we allow you to take benefit of the advertisement and of the trading. And we take very much care that we are not that, that is all on arm's length also compared to our other partners and customers. So, ADS-TEC will not sell the systems or the services cheaper into the own projects, compared to how we support our partners. That is very important for us because we don't want to lose our partners. It's still for a very, very long time, but it's different. And if you look at, for example, bigger utility, it takes a long time to get them into the business and to adapt their software and their infrastructure, their processes on our platform. This will stay over years, and they don't care whether we, in other cases, provide the full service to, let's say, a small company or a network of companies, which want to use the chart on their premises. That is not a conflict. And so, it's not a new business. It's not a change, and that is very, very important for us. Could it lead to changes in the market because, in terms of revenue, development, if we are investing ourselves, then it's a question of production capacity we do have. So, it's a question how fast we get access to the sites and how fast can we build up the system. That's basically where the restriction comes from in our own business. And maybe one benefit we have also, we can adjust the business model without asking or discussing that with the partner because that's under our own control. So, we are getting faster here. And the other thing, the complete market where we are also depending on the rollout and on the operation from our partners, there, of course, we see, and that is what I mentioned, the overall market charging has come down with the EV development. We expect that it comes back. But that's here we are going with the cocaine market with all the charging market. This is different. But again, please do not think that we are changing the business model. We have just an addition. And so, we are not changing now to CNI. We always did CNI, but we have not been able to do everything at the same time. And now I think that's the positive news. We can come back and also expand the business in these areas.
Dennis Müller : Then I would say last question regarding the time, very interesting. It's a question regarding this extension of the business model. Could you share how many operational charges you acquire and the deal where you acquired your customers, and related to that, could you say something about how many charges or sites to be run by yourself planning to develop in 2025?
Stefan Berndt Bülow : Yeah, we cannot talk about the details which are under NDA with our customers and partners who gave us the details about their sites. So, the first sites we will get is three-digit numbers so it's above 100 and below 500, let's say that way, as for now and then the installation will go as fast as we can do it and thanks to the investment and to the funding we got, we are not limited here. And we also see that if this really gets into the market, then there is also a lot of potential to scale that up. Because if we can show and that is also a big opportunity for us that multi-revenue really has an impact on the whole business model. And so far, we only sold the ecosystem and the services, and the services came in as we just saw, but the trading business is not established right now in the market with our partners. And also, the advertisement businesses at the very beginning, so we are really keen and we are looking forward to make improve with the overall business model, what we say multi-revenue. And we are supporting our existing partners here as well, so it's not that we keep that just for us. So, we are offering the services also to our existing partners; if they want to, they can participate as well. So, in total, we want to have the biggest impact for all of us, for the existing partners and customers as well as for the owned and operated sites by us.
Dennis Müller : Then I would propose one last question because that's targeting the multi-revenue streams. In a year or two, how much of the revenues do you see coming from power or energy trading?
Stefan Berndt Bülow : That's a very smart and good question. And I would say today, we can say, and you can look because it's public, go to the BVES website, which is our storage association. You can see what can be achieved today with energy trading, for example. So, I would say take these numbers for today, but what we also see the market is really changing and developing and region by region, it's different. We started our first bi-directional charger, has been installed in Austria by end of last year, so we got the certification. And now we are collecting data, and the first tests and the first results are coming, and now we do the next step here in Germany. So, this is a step-by-step approach. But to answer the question, where do we see flexibility in the future? It's hard to predict, I don't see that it comes down significantly because as we have seen it with frequency regulation at the beginning, it came from EUR3,000 a week, and of course, it went down after a lot of storage system come into the market, but now it's back on a higher level. Why? Because we have more and more demand in the market. And there will be no energy transformation; that is exactly why we are here, without flexibility. So, flexibility is, and that's our slogan, is the twin brother of renewables and of the new way how we do heating’s and heating systems and also the mobility sector. So, I don't see that flexibility will go down to zero. It's rather the other way that we see a bigger and bigger market for flexibility. And of course, there will be also price for flexibility. And that is, again, where we can adapt our business model to where you can make the most money out of, whether it's frequency, regulation or whether it's trading, whether it's peak shaving or maybe also other grid services.
Dennis Müller: Thank you very much. Thank you, Jacob. Thank you, Stefan. Thank you to all of you for your time and attention. Ben, I would say we close the session.
Thomas Speidel: Thank you very much for your time. Thank you and for your support.